Alex Durkee: Good morning, and welcome to Kinetik Holdings Inc.'s fourth quarter and full year 2024 earnings and full year 2025 guidance conference call. Our speakers today are Jamie Welch, President and Chief Executive Officer, and Trevor Howard, Chief Financial Officer. Other members of our senior management team are also in attendance for this morning's call. The press release we issued yesterday, the slide presentation, and access to the webcast for today's call are available at www.kinetik.com. Before we begin, I would like to remind all listeners that our remarks, including the question and answer section, will provide forward-looking statements. Actual results could differ from what is described in these statements. These statements are not guarantees of future performance and involve a number of risks and assumptions. We may also provide certain performance measures that do not conform to US GAAP. We have provided schedules that reconcile these non-GAAP measures as part of our earnings press release. After our prepared remarks, we will open the line for Q&A. With that, I will turn the call over to Jamie.
Jamie Welch: Thank you, Alex. Good morning, everyone. Thank you for joining our call today. Yesterday, we reported our fourth quarter and full year 2024 results and provided our 2025 financial guidance and outlook. I look forward to discussing each in more detail with you this morning. 2024 was another transformational year for Kinetik Holdings Inc., marked by highly strategic M&A and organic growth. We substantially expanded our footprint across the Delaware Basin and, at the same time, achieved significant milestones in our capital allocation framework. Starting in the first quarter, we placed into service two months early the last role that extended from Loving County into Lee County, our initial entry into the state of New Mexico. This was the first step in a broader vision of becoming a market leader in the Northern Delaware. In March, we put a stock overhang behind us with Apache exiting its remaining ownership stake in Kinetik Holdings Inc. This last trade nearly doubled our public float and created an opportunity for existing and new shareholders to participate in the Kinetik Holdings Inc. growth story in a more meaningful way. In May, we announced $1 billion of highly strategic and accretive transactions that furthered our expansion into New Mexico. Our acquisition of Durango Permian, our largest transaction since the Kinetik Holdings Inc. merger in February of 2022, and the fifteen-year gas gathering and processing agreement in Eddy County, which was primarily funded by the sale of our sixteen percent non-operated non-core stake in GCX, positioned Kinetik Holdings Inc. for future opportunities like never before. Importantly, upon closing these transactions, we reduced our leverage by nearly half a turn to 3.4 times, falling below our communicated leverage target. During the third quarter, we announced the sanctioning of pre-FID work for King's Landing 2 to support continued development of the resource in the Northern Delaware. We also increased our equity interest in EPIC Crude to 27.5% ownership in a series of transactions that support the pipe's continued growth and strengthen its financial profile. To close out the year, we announced the E Triple C pipeline between our Delaware North and Delaware South positions, which will allow us to flow sweet rich gas south and process higher margin sour gas across our Northern assets. We also announced the strategic bolt-on acquisition of the Barilla Draw assets from Permian Resources. And with the backdrop of strength and visibility in our business in 2025 and beyond, we increased our cash dividend by 4%, accelerating our return of capital to shareholders for the first time as a company, and we were also placed on positive outlook by S&P. Now addressing our fourth quarter results, the quarter was temporarily impacted by unexpected events in November that resulted in a $15 million headwind, largely driven by the associated volume curtailment impacts from negative Waha gas prices in November and the restricted operating mode for several of our plants in Texas for the first half of the month. Normalizing fourth quarter earnings for this headwind, full-year adjusted EBITDA would have been above the midpoint of our revised guidance range. While Trevor will provide more context on fourth quarter results shortly, it's important to note that the management team has implemented new risk measures and processes to prevent this from happening in the future. By late December, Alpine high volumes had rebounded to levels not seen since early 2024, prior to when the curtailments began. The last two months have marked a strong rebound in operational and financial performance at the company with adjusted EBITDA averaging well over $1.05 billion on an annualized basis. Moving on to full-year results, we reported record volume growth in average gas processed volumes of 1.64 billion cubic feet per day, up 13% year over year. Adjusted EBITDA of $971 million represents a 16% increase year over year and an 18% increase when normalizing for November impacts. We reported 2024 capital expenditures of $265 million, approximately $15 million below the midpoint and $5 million below the low end of our guidance range. Looking ahead to 2025 and beyond, Kinetik Holdings Inc.'s pure-play footprint in the most prolific basin and in its close proximity to the largest natural gas and natural gas liquids demand hubs in the world positions us at the epicenter of a long-term supply push demand pull dynamic. Permian supply and US Gulf Coast demand are growing at mid-single-digit compound annual growth rates through the end of the decade. At the current trajectory, approximately 10 billion cubic feet per day of additional processing capacity is needed to keep up with the pace of growth. Over 5.5 billion cubic feet per day of capacity has been sanctioned in the Permian and is expected to be placed in service in the next several years, implying an additional 20 to 25 unannounced Permian processing plants still needed by 2030. The significant growth out of the Permian will help meet the demand needs of the US Gulf Coast. LNG exports are expected to more than double by 2030 and drive approximately 75% of the nearly 18 billion cubic feet per day expected natural gas demand growth in the region. Increased industrial and power demand as well as growing exports to Mexico would make up the balance. Gulf Coast exports of ethane and LPGs are also growing at mid-single-digit compound annual rates as global demand for feedstock increases, predominantly supported by ethylene and PDH capacity additions in China. Given the cost inflation we have seen in power prices over the last several years, we believe our ability to manage electricity OpEx is going to become even more critical over the balance of this decade, which is why we are exploring a behind-the-meter greenfield, large-scale gas-fired power generation facility and distribution network in Reeves County, Texas. A behind-the-meter solution would allow us to reduce ongoing electricity costs and be able to capitalize on the persistent and expected Waha natural gas price volatility. While the project is still in its early stages, this is something we and others are really excited about. We are in conversations with potential partners with the intent to pursue a joint venture structure. The project could reach FID as early as this year, and we look forward to sharing more as we advance this opportunity. I'm incredibly proud of what our team has accomplished. Since closing the merger in February of 2022, we have a proven track record of compound annual double-digit adjusted EBITDA growth and expect to continue this multiyear growth journey in 2025 and beyond. This earnings growth trajectory coupled with disciplined capital deployment reinforces Kinetik Holdings Inc.'s position as a best-in-class leader in the Delaware Basin and the midstream industry. And with that, I'll now hand the call over to Trevor to discuss our financial results and 2025 guidance in more detail.
Trevor Howard: Thanks, Jamie. In the fourth quarter, we reported adjusted EBITDA of $237 million. We generated distributable cash flow of $155 million, and free cash flow was $32 million. Looking at our segment results, our Midstream Logistics segment generated an adjusted EBITDA of $150 million in the quarter, up 3% year over year on volume growth but down sequentially by 14%. As Jamie mentioned earlier, November was a difficult month. Results were temporarily impacted by negative Waha prices, where the average gas daily price at Waha was negative $1.40 per MMBtu for the first fifteen days in November due to scheduled maintenance on several intrastate gas pipelines, including Permian Highway Pipeline. Negative gas prices at Waha led to the continuation of Alpine High's volume curtailments. Unlike prior months in 2024, Kinetik Holdings Inc. was fully exposed to the lost gross margin from production curtailments since we did not have offsetting marketing gains as our long Gulf Coast transport capacity position became balanced. Additionally, several of our Texas processing plants were operating in ethane rejection due to maintenance work and commissioning activities. This created equity residue gas exposure at Waha we typically do not have, further negatively impacting our gross margin. We have implemented measures and processes to prevent this operational headwind from happening in the future. Importantly, we were back on track by the beginning of December. Gas processed volumes have performed well, averaging over 1.8 billion cubic feet per day for December and January. Annualized adjusted EBITDA for October and December was approximately $1.04 billion, further demonstrating the unique nature of the events in November. Shifting to our pipeline transportation segment, we generated adjusted EBITDA of $92 million, up nearly 9% year over year. Growth within the segment was largely driven by a full quarter contribution from the additional 12.5% ownership of EPIC Crude, volume growth at Kinetik NGL, and contributions from the PHP expansion and Delaware Link, partially offset by no contribution from GCX following the sale earlier in the year. Total capital expenditures for the quarter were $107 million. For the full year, we reported adjusted EBITDA of $971 million, $657 million of distributable cash flow, and $410 million of free cash flow. Total capital expenditures for the year were $265 million, falling below our revised 2024 guidance range, demonstrating capital discipline throughout the year. We exited the year with a 3.4 times leverage ratio per our credit agreement, down 0.6 times year over year. Moving to 2025 guidance, we estimate full-year adjusted EBITDA in the range of $1.09 billion to $1.15 billion. The midpoint of $1.12 billion implies 15% growth year over year. Specifically within the Midstream Logistics segment, our key assumptions include approximately 20% growth in gas processed volumes across the system, outpacing broader Permian growth. We anticipate the 220 million cubic feet per day King's Landing complex to start up in late June at nearly 50% utilized as the curtailments across the Northern Delaware system today come online. We expect to ramp to full capacity over the balance of the year. 2025 estimates include the recently acquired Barilla Draw assets and the large Eddy County project. The Eddy County project commenced gathering services in December and will extend to processing when the King's Landing complex is operational. Approximately 83% of our 2025 expected gross profit is sourced from fixed fee agreements. As of today, we have hedged approximately 75% of our remaining commodity-exposed gross profit in 2025, implying only 4% total gross profit is unhedged and directly related to commodity prices. 2025 guidance also assumes forward market pricing as of February 20th. Our Midstream Logistics adjusted EBITDA grew 13% year over year in 2024, and we anticipate accelerating that level of growth to over 20% year on year. The pipeline transportation segment will have a full-year benefit from the incremental 12.5% equity interest in EPIC Crude, which was purchased in the third quarter of 2024. Our forecast also calls for further growth at our wholly-owned Intrava-based pipeline, Kinetik NGL, and Delaware Link. These year-over-year growth contributions will be partially offset by no contributions from GCX following the sale in June of 2024. On 2025 capital guidance, we expect aggregate capital to be between $450 million to $540 million, inclusive of up to $75 million of contingent consideration to the Durango seller, Morgan Stanley Energy Partners. The contingent consideration payment is tied to the actual cost of the King's Landing complex, and to the extent that total capex exceeds the original estimates, the $75 million contingent consideration is reduced. Our guidance also includes capital to construct the E Triple C pipeline, continue the build-out of the low and high-pressure gathering system in Eddy County, integrate the Barilla Draw assets, and pre-FID work on King's Landing 2. As I mentioned earlier, we were $15 million below the midpoint of our 2024 CapEx guidance. This expected spend effectively shifts to the right and is now part of our 2025 capital guidance. Adjusting for this shift, as well as the increase to current market steel prices for the potential steel tariffs, 2025 capital expenditures prior to the potential $75 million of contingent consideration are in line with our previous communications of being towards the high end of our long-term capex range. Strong execution across our growth objectives throughout 2025 positions Kinetik Holdings Inc. for an even more successful future. With adjusted EBITDA growth accelerating through the year as projects come online and volumes continue to ramp, we expect fourth quarter 2025 annualized adjusted EBITDA to exceed $1.2 billion. Kinetik Holdings Inc.'s cumulative reinvestment ratio has been and over the past three years driving compound double-digit average annual growth and adjusted EBITDA over that same time frame. We have demonstrated our success in investing in highly accretive capital-efficient projects that drive earnings growth. We will continue to invest in projects that not only drive attractive EBITDA growth but also support our disciplined approach to an appropriate leverage target of 3.5 times. This balanced approach positions us well for near-term investment upgrades. We remain committed to this framework as we believe it maximizes shareholder value. It also provides financial flexibility for opportunistic capital deployment to attractive inorganic opportunities and accelerated returns through annual ratable dividend increases and opportunistic share repurchases. And with that, I would like to open the line for Q&A.
Operator: We will now begin the question and answer session. In the interest of time, we ask that everyone limit themselves to one question and one follow-up and then return to the queue. If for any reason you'd like to remove that question, please press star followed by two. Again, to ask a question, press star one. Our first question comes from the line of Spiro Dounis with Citi. Your line is now open.
Spiro Dounis: Thanks, operator. Morning, team. Wanted to start first with a new data point in the slides. You guys refer to this sort of 10% EBITDA CAGR over the next five years. So just curious, as you think about the infrastructure needed to build out to get you there, what's that gonna take trying to get a sense of the execution risk to achieve that target.
Jamie Welch: Spiro, Jamie, good morning. Alright. So I think if you go look at our slides, we said the basin gonna grow around 6% on a supply basis. Yeah. One of the things we pointed out in the prepared remarks was, you know, we continue to actually see outsized market share performance relative to our competition. Right? So we've actually continued to build market share over and above the overall supply growth that we see more broadly in the Delaware. As we think about our overall forecast right now and what we see, obviously, King's Landing 2 is probably the most near-term potential processing opportunity that we do see, and we have embedded within our business, not just obviously the top-line growth from a commercial standpoint, we also have structural changes being the NGL contract roll-offs. They start in 2026. They go into 2027. They start into they go into 2028. And actually, even on the commitment side, they change in 2029. That creates, obviously, incremental EBITDA opportunity and growth. And as we pointed out on the prepared remarks, you know, electricity OpEx. You know, our labor cost is sort of a 4% growth rate and has been now for the last few years, certainly post-COVID. However, electricity and compression as you guys know, particularly for those of you on the phone, have been growing at much higher rates. And so Matt and the ops team have been looking at this saying, this is something that we wanna actually go and really attack. We see an opportunity to actually create controlled cost as opposed to non-controllable cost. And we can see an opportunity to deploy some capital and see setup multiples not different or no different than what we have with our organic growth sort of in that five to six times setup multiple. And that would be reduction in office. Which again would flow to the bottom line as far as EBITDA. That's right now our toolkit. And just taking that I think, really gets you this consistent growth rate. On a multiyear basis through the end of the decade.
Spiro Dounis: Got it. So I don't think it's a whole lot of ex couple of I don't think there's a whole lot of execution, Rick. Risk, sorry, Spiro on this. I think this is really a lot of it sits within in-house.
Jamie Welch: Got it. Okay. That's good to hear. I appreciate that color, Jamie. Maybe second question, just going to M&A. You know, last year, to your point, active between Durango, Barilla Draw, both successful transactions. And you know, from our perspective, things that were not on our radar. So I'm curious as you look forward to 2025, are there still opportunities to do things like that again this year with those kinda unique? Just trying to get your sense of the opportunity set.
Jamie Welch: Look. I think there remain opportunities that are out there. The question is, do they hit threshold as far as attractiveness from a return standpoint? If there's something that we thought was particularly compelling, you know, we have a very high bar, and I think we've proven that in the context of how we did the Durango transaction, and, obviously, most recently, the Barilla Draw transaction. They're highly compelling project opportunities for us. So that creates within the boardroom, an expectation or dynamic that is a really puts you through your paces as far as making sure that it lives up to the billing and it lives up to the expectation.
Spiro Dounis: Understood. I'll leave it there. Thanks, guys.
Jamie Welch: Thank you.
Operator: Thank you for your question. Our next question comes from the line of Jeremy Tonet with JPMorgan. Your line is now open.
Jeremy Tonet: Hi. Good morning.
Jamie Welch: Good morning, Jeremy. I was gonna say top of the day, but it's bottom of the morning. But let's go.
Jeremy Tonet: Fair enough. I just want to talk maybe a bit more about the longer-term growth of 10% CAGR. Two billion internal goal in, you know, just as far as providing that kind of outlook now, and, you know, both the organic and also really the inorganic you see out there. I guess line of sight on that side as well towards that type of internal goal and the drivers of providing the outlook.
Jamie Welch: So in the context of how I would think about this, this is really you know, we like to communicate transparently in the context of our internal objectives. And we've always been that way, and we think that that's the way you deal with both from a sell-side analyst community as well as the investor community at large. And we have always looked at really trying to maximize what we can within the framework and the portfolio of businesses that we have. And so you know, to tell you that, you know, we had a we have an internal target. Two billion dollars by 2030 is not too dissimilar to what we said sort of more than a year ago when we said a billion dollars was gonna be our target, you know, a near-term objective. We see the capabilities just given the skill sets and the opportunity the opportunities that we see within our portfolio, within our overall system. To continue to grow the business at an attractive rate. And therefore, from I look at this as being much more organic as I just pointed out to Spiro. It's much more within house. Yes. Yeah. Okay. L2, we're already starting on the pre-feed, and that's an active ongoing series of conversations with many customers. What we really see as being the catalyst for so much activity in the north will be King's Landing coming online. And there is no higher more important objective for the ops team and the engineering construction team than to make sure that happens. At the end of 2Q this year. That is going to give massive relief to our customers. More importantly, that may be a step change as far as their willingness to think about development activity and what that actually looks like. So that, we think, we are positioned well to capitalize on. I've already mentioned obviously OpEx, Compression is another area that we continue to see. Right now, on the basis of what we see with, for example, with Apache and what we inherited with Alpine High, we still have almost eighteen units that we could possibly move. Within our system. It's about a hundred and fifty-nine cubic feet a day of horsepower and that's a direct immediate OPEX benefit. With very, very modest capital. Right? To basically redeploy, re and move those units. So there we look at it every element and aspect of our business. We look at whether it's on the commercial side, whether it's on the hedging side, the marketing side, and whether it's on the operations, engineering, construction side, everyone has a role to play in this in growing this business. So as I said, when we think about our internal objectives, we're not putting out there, you know, sort of unexpected or things that are completely outside of our control that we don't we can't necessarily influence. I think we feel really good about executing and the opportunity set that presents itself immediately within us and just following that path to get to these sorts of growth levels for our internal business.
Jeremy Tonet: That's very helpful there. And just pivoting a bit, one, to dial into producer customer activity expectations for this year. Particularly as it relates to, you know, Waha and potential, you know, for choppiness ahead of the next wave of pipes, or just in general, how are conversations with producers going at this point in time?
Jamie Welch: Look. I would say 2024 was an eye-opener for most producers in the context of the extent to which Waha was negative. And that obviously, you know, we live the good and the bad. Right, as it as it results to that. Ongoing opportunity set right now. Is still since all of our customers are yep. All of our customers because as I said, you know, we have Apache and PDP decline. Well, all of our customers are oil drill activity. So they continue to see tremendous opportunity. New Mexico is obviously where we're seeing some of our largest customers continue to put most of their drilling capital. But I think there are some really, really, you know, interesting opportunities that will continue out of that. And if Waha ever gets its acting gear and we see positive catalyst on gas prices, then, hey, yeah, there might be additional activity in some of the areas which has higher GOR, I suppose, in the context is, you know, just more richer, just gas, but much less crude. So I think overall level of activity remains, you know, pretty robust. Jeremy. Pretty robust as it relates across both Northern Delaware and Southern Delaware.
Chris Kendrick: And, Jeremy, this is Chris. Remember, part of our differentiator too is how we can offer Gulf Coast pricing, and a large number of our customers have that exposure. And that proved to be valuable for them in 2024 and going into 2025. So that'll further reinforce their ability to drill and bring on production.
Jeremy Tonet: Got it. That's helpful. I'll leave it there. Thanks.
Jamie Welch: Thanks, Jeremy.
Operator: Thank you for your questions. Our next question comes from the line of Neel Mitra with Bank of America. Your line is now open.
Neel Mitra: Hi. Good morning. I wanted to start off with a macro question. It seems like the Permian gas pipes, a lot of them have enhanced capacity through compression with Whistler PHPGCX. And there's a lot of maintenance around those, unplanned and planned. And it seems like that was an issue this quarter. Are you able to manage around that risk? And do you see increased compression as a source of volatility going forward?
Jamie Welch: Yeah. It's a really good question. It is a very good question. So I would say the following, Neel, in the context of my view on the on all the Gulf Coast pipes. There is gonna be regular seasonal maintenance as there is honestly, for just about every type of large equipment and machinery that we have. Utilities do seasonal maintenance. I mean, seasonal maintenance is just part and parcel of when you have something that runs twenty-four seven, three sixty-five days a year. That is typically gonna mean the shoulder periods. April, May, October, November, they're of a obviously where you see even in the forwards, week the weakest pricing. You may have, obviously, more impacts because now you've got this assets with more compression, and so there might be longer periods where you have, you know, some modest level of capacity cuts. So I do think that that obviously, you know, does play in. Obviously, trying to sequence it so that doesn't all cannot, you know, literally pull on top of each other and create obviously some sort of some sort of bigger issue is obviously important. But I look at this and say, look, our lesson learned from this and look, you know, I I think I have a viewpoint which is you just don't get mad, you get better. That's what you do. As you take November and you say, okay. What have we learned? So what we learned was we needed to be have incremental link for Gulf Coast capacity. So we have and we are. And that will obviously allow, you know, we under offset as it relates to just risks. What it means as we continue to see more and more pipelines, obviously, the the fact is the rate of growth that we're seeing is unprecedented. And that's really the issue. When you see sort of this growth rate of eight BCF over the next five years, said another way, you know, that is one and a half B's a year. Right? I mean, that's massive amount of growth. That is a pipeline a year, and it's hard to get pipelines built. We've seen that. They happen in clusters. And there's a frenetic amount of activity. Lots being talked about, but things happen. And then then there's catalyst. So obviously, catalyst, I think, last year was just how Waha performed and finally you saw obviously GCX get done, we saw, obviously, you know, we saw Blackcomb, you know, and we saw Hugh Brinson. So finally, we saw okay. We saw some activity. The pressure will build up again. Absolutely. Just given what we see, and you'll continue to have have this this problem. Part and parcel of one of the the ideas, but with the ops guys on PowGen. Is that's just in basin. But that's, you know, fifty to sixty million cubic feet a day, whatever it is in the context of that we could build a power gen plant and capitalize on some of this weakness. It's another way for us to create economic value for the enterprise and capture it within the overall company itself. So I do think it's a really good question and look, it's gonna be something that I think all of us gonna have to watch and we'll probably watch very closely.
Neel Mitra: Got it. Thank you. The second question It my feeling was that, you know, the New Mexico, Delaware was kind of your near-term growth engine and long-term growth engine was the existing Southern Delaware system. It seems like some of your customers, like Permian Resources and are allowing you to see some outsized growth in the near term, in the Southern Delaware, can you talk about what you see in terms of how that contributes to the ten percent growth. And then also if there's any additional services you can provide for that subset of customers like you are in New Mexico with the trading and other services?
Jamie Welch: Sure. So let me deal with that last aspect first, and then we'll just talk about sort of the picture on the Southern Delaware. So as you know, interestingly enough, in the Southern Delaware is the preponderance of all the customers that we provide potentially multi-stream service. So we provide crew gathering, which we do with Barilla Draw, we do it with Caterra. We do it with a number of others. We have water gathering and disposal, and we have off natural gas gathering and processing. To this point, since it has been primarily a more of a traditional suite system, the gas obviously, gas quality is much lower from a PPM standpoint for with respect to H2S, and obviously, CO2 has been relatively negligible as likewise, it innards. So we do provide multiple service multi-stream capabilities wherever we can, and we look for those opportunities particularly in and around our system in the southern on the Southern Delaware side. Yes. You're right. Barilla Draw is a very yeah. I would say is a very helpful and is a very strong infusion of growth for the Southern Delaware system. Outside of that, growth, I think honestly, has been more candidly, as we look at it, so does that mean that it's more of an inventory play at this point? Because the directed capital dollars are in New Mexico? That's probably a pretty good point of view. I think, you know, they will come back our producers will come back and, obviously, obviously focus on these areas. But New Mexico obviously has I think, for various reasons, which we've explained, I think has, obviously, a lot more appeal right now on the of what we're seeing. So Barilla Drawer is more, I would say, probably an exception than the norm, but it's a fantastic opportunity. And obviously, if you if any of you listen to or saw the transcript for the Permian Resources call yesterday. That going going you know, they're really gonna go after it. On it from a development activity standpoint. The good news for us is it fits within our EBITDA and our growth is that we pick up partial processing after March of this year, and then we pick it all up a couple of years out when another contract expires. And that will be a big that will be a big contributor. That will be obviously very attractive in the context of that step up when we both gather and process that gas. So that really that obviously does help the overall ten percent, you know, the double-digit growth rate and how we think about it longer term.
Trevor Howard: Neel, it's Trevor. One other thing that I'd add is that seen a ton of consolidation and deconsolidation for specific asset packages across not only our footprint but just the broader Delaware basin. And one of the things that we're really excited about on the heels of Durango with the announcement and the completion of E Triple C in the first quarter of next year, which will migrate I think, how we internally have know, always wanted to get to and how folks from the outside looking in will look at us, which is this is a this business is a Delaware Basin proxy. And so despite assets changing hands, we have such length and footprint across the entire Delaware basin that there are opportunities that are popping up in the south, on the eastern side where Pegasus lateral is in Lee County, on the western side where E Triple C is, and then all across the north with Durango and on the southern side of Durango with the King's Landing footprint. So hard to, I'd say, say on a longer-term basis, exactly where those opportunities are going to transpire given all the consolidation in M&A on the upstream side, but we have, again, such a robust footprint now that we are quite confident that there will be opportunities within our capture area the long term given our belief in the Delaware Basin.
Jamie Welch: And, Neel, finally, I would just say, you know, the commercial team and Trevor and the finance team, you know, their brainchild will be Triple C. Really allows us to capitalize on the growth that's in the north, and if we're not seeing the growth in the south, we have brand new processing facilities down there that we can fully utilize. And be able to bring that gas south and process it is a real optimization of our overall footprint. And that's tremendously attractive.
Neel Mitra: Okay. Perfect. I really appreciate all the thorough answers. Thanks.
Operator: Thank you for your question. Our next question comes from the line of Michael Blum with Wells Fargo. Your line is now open.
Michael Blum: Thanks. Good morning, everyone. Wanted to talk about I wanted to talk about the relationship between your EBITDA earnings growth and dividend growth or capital return. So, obviously, here in 2025, you're targeting 15% EBITDA growth. Three percent to five percent dividend growth. Can you just speak to the delta there? Are you trying to retain more cash, reduce leverage further? And then know, assuming you can hit that ten percent EBITDA long-term target to the end of the decade, how do we think about that relationship going forward between growing earnings versus dividends or just capital return more broadly? Glad that.
Trevor Howard: Thanks, Michael. It's Trevor. What I would say is that we following up on Neel's earlier question, we see a lot of opportunity in the Delaware Basin to grow our business. And retaining financial flexibility to execute primarily on organic opportunities into the extent that there are inorganic opportunities, maintaining, again, not just a strong balance sheet, but also ample free cash flow following after dividends in order to absorb incremental growth capital and execute on such opportunities. So what I would say is that until that dynamic changes, which we do not see anytime soon, growing our dividend at a slower rate of pace we believe, is prudent just to give us that financial flexibility.
Michael Blum: Okay. Got it. Thanks. And then just one more question on that long-term ten percent EBITDA CAGR. Does that effectively assume you stay within that long-term capex range that you laid out before or does it contemplate higher investment?
Trevor Howard: No. It's we stay within the footprint. Michael. We did. And as I said, you know, in the context of this so much of this growth, which is already, you know, whether it's Kings Landing 2, know, we've already talked about this a lot with you and obviously most of our investors and most of most your other analyst brethren. That we can really live within that overall range. And we continue to see the growth that we've got.
Michael Blum: Got it. Thank you.
Operator: Thank you for your question. Our next question comes from the line of Keith Stanley with Wolfe Research. Your line is now open.
Keith Stanley: Hi. Good morning. On the I wanted to ask on the power plant potential project. I know it's early. But can you just confirm how much capacity you would wanna own and then when you say it's comparable returns mid-single-digit EBITDA, build multiples, is that tied to just forward market power prices as they sit today? Does that bake in any gas optimization with Waha? Just any inputs on that.
Jamie Welch: Okay. So Keith, it's Jamie. Two things. As far as how much capacity? So today, post Barilla Draw, we're in the low one hundred, one ten. Megawatts. Round the clock, twenty-four hours. Twenty-four seven. That's Southern Delaware. We have been talking about this for some time. Yeah. I give Matt and the op and the engineering guys a lot of credit. They've really looked at this take a talk to a few customers. They would be our joint venture partners. And they themselves have lots of load. So all of us look at this and it's really self-consumption. Right? We're building this and we're gonna directly connect to our load points and we just and we will then control our own electricity with grid as backup. Right? So that's the opportunity set. It's not about selling into power. It's not selling into the grid. It's not sell. We're not gonna sell, you know, data centers or a hyperscaler. This is our optimization of our existing operating expense. As far as returns are concerned, this is against what we have and what we see today. So there's no optimization that in the context of lower, you know, Waha prices. You know, we're just we're looking at this today versus what our fully loaded cost is and what it is in ERCOT today. So I think, look, there are optimization depending upon the actual expected price for Waha is a further, you know, enhancement or refinement at some later stage. But I think what we see on an existing basis, given expected potential construction cost versus OpEx reduction immediate. This is what it would be.
Keith Stanley: Thanks. That's helpful. Second question, just really more of a follow-up. The twenty percent processing volume growth assumption for this year. Is there any way to split that between kinda legacy Kinetik South, Durango, Barilla Draw, and then the one point two billion EBITDA exit rate for the year is a pretty big ramp. I assume a lot of that's King's Landing starting up, but any color on you know, is it front half loaded or back half loaded in terms of gathering growth for the year as you see it?
Jamie Welch: On the front half I would say, yes. We'll try to give you the north-south breakdown. On the south, a lot of it is the return of Apache cut out volumes. I mean, just put in context, it's like a hundred and forty million cubic feet a day. It's a lot. That would be sort of the adjustment if I look at it sort of the overall buying bridge. You obviously on a gathered basis, you've got a lot on, Barilla Draw. So those two things I would say looking at Kendrick and Trevor, that's pretty much your south bucket. Right? Everything else is sort of some pluses and minuses, but nothing really material. And then it's all King's Landing. King's Landing, when it comes on, you've got obviously newborn spur. You got a lot of ducks. You have a lot of curtailed volume, and literally that just brings it on. And our expectation is this is how we sort of thought about our overall guide. Which was King's Landing is a big project to us, and we don't control exactly when it comes up. So we want it to be just like we have historically, but you know, I would say every year, we do this in February when we give our initial guidance. We wanna be conservative because there's a lot that we can see, but we just want to know before we start moving. And, you know, I think every year, we've actually issued got original guidance and then revised it. I think in the context of, King's Landing, that's one of the unknowns. Right? Exactly how that ramp plays up. I think we are anticipating that it's gonna be full year-end? I think so fourth quarter is when it's when we should see King's Landing's full. So obviously, that will have an impact there with the additional two hundred plus a day that we get.
Trevor Howard: Yeah. One other thing that I would just add is that, remember, Barilla Draw starts out as gathered service for the first quarter. And then there is an existing processing agreement whereby we're not getting all of that gas. So the over twenty percent of processed gas growth that's not necessarily gathered. And so the growth year on year with respect to gathered is actually stronger than what you're seeing here just because of that dynamic debt. Processing contract rolls later this decade, and that is a margin expansion which further adds to you know, how achievable is that longer-term growth rate for our business.
Operator: Thanks. Thank you for your question. Our next question comes from the line of John McKay with Goldman Sachs. Your line is now open.
John McKay: Good morning. Thanks for the time. I just wanted to quickly touch on sour gas opportunity. You guys have kind of you know, pointed it to a couple times on the call today. But just curious to give you an update on kind of where the broader kind of competitive landscape sits right now, kind of incremental commercial opportunities, you see know? Room to add more training, etcetera.
Jamie Welch: So, John, it's Jamie. So as far as, the sour gas treating, there remains a significant number of opportunities in Northern Delaware. So we continue to see that being a real differentiator for us and probably a couple of our peers and be able to capitalize on that with existing capacity and, obviously, with King's Landing and then King's Landing 2 with sour gas processing capacity. So I think we're very excited by the opportunity. It really hasn't changed as we continue to tell everybody. The level of or the number of customers and the amount of acreage that we see that could be developed. Obviously, so much of it sits in in and around our existing system that we have on King's Landing, and we are we're trying to harvest that with commercial contracts.
John McKay: That's great. Thanks. And maybe just you know, one of the margin improvement story you talked about was the compression side. You touched on it briefly, but maybe just give us an update on know, is it third-party pricing has gotten higher? Is it just harder to track down new units, or how much of it is kind of more I guess, self-help on your side just, you know, to your point on having the eighteen units potentially available?
Jamie Welch: Well, as you know, we inherited a lot of units. From Alpine High, and we've been we have redeployed them across our entire system. And so our compression capability, whether it's first call or from an ongoing compression mechanics. You know, we've really increased significantly from the original base business that was that was BCP Raptor. Which was the old ECMB and cap rock businesses. So it is third-party. We are seeing both new units as well as oldie, as well as you know, existing leases when they expire or they reset provisions, increase provisions, obviously, increased greater than what we're seeing inflation at this point in time. And so it is an interesting dynamic. Right? Obviously, I think we've read probably many of the research pieces that you and others have talked about, whether it's Archrock, USA Compression, Kodiak, etcetera. And I think, you know, we all recognize that there is pressure on those prevailing lease rates. What it drives someone like us to do is really evaluate. Okay. The lead times to get new compression. Okay. So let's think about it prospectively. Let's put that into our thinking on our capital budget. Because it makes a direct impact. We have the technology. We have the capability. Let's go secure it. And let's deploy it within our business. A lot of it continues to be driven by you doing low pressure. How much of your business is low pressure than high pressure? Because, obviously, the more low pressure you do, the more compression we need. If it's high pressure, don't need it as much. So I do think it's an interesting sort of complex. It's an interesting chessboard that we have to navigate. But it is certainly new units, cost of new units, not a surprise. It's obviously also existing lease rates that you're seeing as they as terms come up for renewal.
John McKay: I got it. Thanks, Jamie.
Operator: Thank you for your question. Our next question comes from the line of Theresa Chen with Barclays. Your line is now open.
Theresa Chen: Morning. In your discussion related to the details on the infusion of growth that Barilla Draw brings, would you mind clarifying the comments around taking up additional processing and with more to come later in the decade. Just quantitatively, what is the path of economic contribution on this acquisition?
Trevor Howard: Theresa, it's Trevor. So we that comment so what we are initially providing is gas gathering services. There are existing processing agreements. So we don't necessarily process that gas today. Later this year, we will process a portion of that gas, and then later in the decade, the remaining existing processing agreement with a third party will expire, and then we will process 100% of that gas. Haven't commented on the economic contribution on that but the way to think about it is it's just a margin expansion on existing gas that we touched today.
Theresa Chen: Understood. And then on the PowerGen opportunity, if it reaches FID as early as this year, how quickly can something like this come online? And would you view this as a one and done, or do you wanna build a series of these assets as a, you know, new component of your commercial offerings?
Jamie Welch: Well, I think this is, Theresa is Jamie. So it's I would say in the south, it takes pretty much all of our load. Right? So it's a one and done as we think about the south. The interesting thing will be let's do this first. Let's see how it is. If we if I did this year end of 2027, I think is when you start to think about when it's in service. If this experiment we think if this works, we would very much start to analyze looking to do it in New Mexico. And ironically, some of the joint venture part you know, one or more of the joint venture partners that we're talking to would also like us to go into New Mexico. Because they also would like to do something. So we do see an interesting opportunity. We're not trying to do these. These aren't peakers. Right? This is gonna be several hundred megawatt you know, basically gas-fired Power jet. So this is, yeah, this is this is not a ten megawatt peak, looks at a peak shaving when you get sort of super high pricing in certain points in time in the year. This is more about as I as I said during my remarks and earlier, this is about OpEx optimization. This is about reducing permanently your overall, OpEx contribute, obviously, incremental EBITDA growth to the and cash flow growth to the to the enterprise.
Theresa Chen: Thank you.
Operator: Thank you for your patience. Our next question comes from the line of Gabe Maureen with Mizuho. Your line is now open.
Gabe Maureen: Morning, Jamie. Just had a larger picture question on all the announcements we seen on downstream NGL capacity expansions this past quarter, whether frac pipes or export. Just wondering how that plays into your re-contracting strategy, whether you see upside, I guess, from what you had seen potentially before. Also, I'm just curious your approach to locking in some of these re-contractings, the you've got, whether you can do that ahead of time whether you're gonna wait. Obviously, I don't wanna give you give you too much away on a commercial strategy, but just curious how that all plays into it.
Jamie Welch: Yeah. Sure. I think as far as, you know, we said that we have various contracts and commitments that roll off of the passengers starting next year literally for the following four years, right, to the end of the decade. There are opportunities. We have an existing contracting relationship with Targa, which we very much enjoy. We have a very close and enjoyable relationship with enterprise. So we do see, you know, the opportunities. We do see rates. We do see them going lower, and that's obviously, you know, creates incremental opportunities for us. I think we are analyzing you know, what and when we do, we see no pressure to rush to do anything. Yeah. We continue to analyze this and, you know, we'll continue to update everybody. You know, look as facts and circumstances change going forward.
Gabe Maureen: Jamie. And then if I could just follow-up with two quick ones. Are you expecting any epic crude distributions this year? And then don't know if you can ballpark steel tariff impacts on your potential CapEx but just wondering how you're thinking about that and whether there's anything to potentially lock in to avoid those.
Jamie Welch: Yeah. So on Epic Crew, the short answer is yes. Because I think, you know, the overall business has reached a steady state as far as credit profile, stability. It's in a really good place. Obviously, the contractual support from Diamondback is, you know, critically important, and I think, you know, it's very much in a good place right now. So partners are expecting distributions this year, which is obviously a good thing. And you know, I suppose as it relates to sorry. I just got the last aspect. What was the last aspect to your question?
Gabe Maureen: Oh, tariffs. I was just done. How can I forget how can I forget tariffs?
Jamie Welch: Tariffs is like literally the frenetic activity of the everyday. Within our business. Who, when, what, how. It's about fifteen to twenty million, I think, is the impact, Matt. I'm not mistaken. That's what we have. Yeah. We got a lot of pipe. It was mainly steel for us predominantly because, you know, we've got the E Triple C, Olympus North low pressure into cut in and around Carlsbad. It's a lot of steel. So we had secured a lot of it. Not no King's Landing because that all had been taken care of. But it certainly was all of the additional development we see in Carlsbad, which is pretty strong, and obviously E Triple C, which we announced at the end of last year.
Gabe Maureen: Thanks, Jamie. Sorry to be the one that asked the tariff question.
Jamie Welch: No. So it's quite alright. It's reality. Right? Gotta live it.
Operator: Thank you for your questions, Gabe. There are no additional questions waiting at this time. I would now like to pass the conference back to Jamie for any closing remarks.
Jamie Welch: Thank you, Ron, for your time this morning. I know we ran a little longer than normal. We look forward to seeing a number of you next week. I think we're at a couple of conferences up in New York. So and in the meantime, if any questions, please feel free to reach out. Thanks very much. Bye-bye.
Operator: That concludes today's call. Thank you for your participation, and enjoy the rest of your day.